Operator: Hello and welcome to the Cumulus Media Second Quarter Earnings Release Conference Call. Please note certain statements in today’s press release and discussed on this call may constitute forward-looking statements under Federal Security Laws. These statements are based on management’s current assessments and assumptions and are subject to a number of risks and uncertainties. Actual results may differ materially from the results expressed or implied in forward-looking statements due to various risks and uncertainties or other factors.
 I would now like to introduce Mr. Lew Dickey, Chairman and CEO of Cumulus Media. Sir, you may proceed. 
Lewis Dickey: Thank you, operator and good morning everybody. I appreciate everybody taking the time to join us today for our second quarter update. Also with me today is our CFO, JP Hannan.
 Today, we’re going to update you on our second quarter performance, which was marked by ongoing success and the synergy realization from last year’s Citadel merger, as well as the announcement of several strategic investments that will support accelerated revenue growth in the months and years ahead. Additionally, our strategic portfolio management in the quarter has enabled significant deleveraging of our balance sheet. I’ll total the events of the past quarter positioned us well for long-term growth and value creation for our shareholders.
 Now starting with Q2 pro forma revenue, that’s Cumulus combined with the former CMP and Citadel assets, net cash revenue was $285.2 million and it was down $4.8 million or 1.7% from pro forma Q2 results from the prior year. Looking at individual categories, we saw continued growth in auto, which was up 6.3%, financial services up 3.2%, home improvement up 2.5% and restaurants up about 2%. On the downside, we saw softness in retail down about 4.5%, healthcare down 4%, and telecom and wireless down about 4%. We also had only modest growth in political during the quarter, it was up $2.7 million, with political advertising year-to-date totaling $5.3 million.
 On the cost side, we’ve made tremendous strides in executing on the acquisition-related expense synergies that we have outlined for everyone. If you recall, we announced as part of the Citadel acquisition that closed on September 16 of last year, we had targeted $51.9 million in synergies to be executed within the first full year of operations. As I mentioned in previous quarters, we implemented 100% of those synergies in the first 100 days, meaning, we put them all in motion, identified and set the wheels turning.
 In Q2 of 2012, we realized another $14.5 million of these merger synergies, bringing the total of fully realized synergies in the last nine months, Q4, Q1 and Q2, to about $40 million. As part of our strategic operating plan, we continue to invest, so we talked there about rationalizing the acquisition creating the synergies, we had about $40 million of the realized synergies, obviously $51.9 million were all identified in the first 100 days.
 Now the converse of this is, as part of our strategic operating plan, we are investing in growth initiatives around four principal areas; content, commerce, sales and technology. And let me briefly run through each one of these. With respect to content, we are making strategic investments to revitalize our venerable new stock brands in the top 10 markets, that’s the primary focus right now. Just to put it in perspective, we talked about the revenue shortfall down about $4.8 million.
 Well just three of these stations accounted for more than the entire $4.8 million of revenue shortfall in the quarter and put further in perspective, the worst performing 10 stations in the entire platform with x the worst performing 10 stations in entire platform, the other 560 stations for the quarter were up 2%. So we’ve got, this is where the primary focuses and the investment is going on to turn these assets around and get them performing. As I say x the worst performing 10, the rest of the group 560 radio stations is actually up 2% for the quarter. Now to do so, we have to rejuvenate the stations we’re working on content development. We’ve created new contempt with Marquee Talent, including former governor Mike Huckabee, Geraldo Rivera, Sanjay Gupta and we expect more in the coming months that were currently in discussions with.
 Additionally, we’ve created -- to support our spoken word brands, we’ve created a traffic network in partnership with Radiate Media and that’s off to an excellent start. As well as a new sports radio network with CBS, and we’re very pleased to be partnering with them. We’re also investing in production and imaging services to improve the sound of the stations and to deliver more compelling commercials for our local advertisers to support our sales effort.
 The second sort of vertical if you will of investments is our bet on local commerce and that is centered around Setjack. We’re investing aggressively to scale the business into a fully distributed national platform operating in 200 markets by the end of this year and we’re right on pace to achieve that goal. We expect to have approximately 300 employees dedicated solely to Setjack by the end of Q4 in this year.
 Third, our investment in sales ramped up in the second quarter, as we hired approximately 100 additional sellers across the platform, primarily on the local station side. And obviously it takes time to get those sellers on boarded trained and it’s couple two or three quarters before they start becoming productive. We’re also investing in our national spot, networks on our national spot, our national network sales, as well as our network affiliate sales teams we’re making those investments in the back-half of this year. We expect the size and structure of our various staffs to be complete by the end of this year and look for strong return on that investment that we’re making this year in 2013 and beyond.
 And fourth, our investment in technology continues as we build out our enterprise technology platform that we have talked about in the past. We’re in the final stages of completing our CRM application code named engage and we’ll have that rolled out company wide by early Q4, that’s been about two-and-a-half years in development. We’re also developing pretty extensive workflow management software to provide a much more seamless interface with our network advertisers, as well as our network affiliates. And we expect to apply what we’re learning on that side in development of that application to the local station side next year.
 And our investments in content, commerce, technology and sales, are specifically designed to create new and profitable revenue streams for 2013 and beyond. The advertising markets are evolving pretty quickly and we must continue to innovate in order to drive growth in this company. The net result of the synergy realization and our investment in growth this quarter, so when you take a - and it’s really two sides to the coin. So the realization of our synergies from the Citadel acquisition, and then on the flipside, our investment in growth, when you net those two out, it was a net expense decline for the quarter of about $5.5 million or a negative 2.9% expense growth rate. That yield our pro forma adjusted EBITDAR reduction of $2.5 million or negative 2.3% to approximately $111 million.
 During the quarter, we continued to exhibit robust free cash flow, and the number for the quarter was $54.3 million of free cash for the quarter the business generated. Now, in early August, we completed the sale of 55 stations to Townsquare Media that was previously announced, so we closed that transaction. It generated approximately $116 million of cash proceeds for the company.
 I’m happy to announce that this morning we repaid our remaining revolver balance and - which also triggered the suspension of the maintenance covenants in the term loan facility.
 This not only derisks the balance sheet, but it also - we also maintain the ability to redraw on the $300 million revolver facility in the future, should we deem it to be desirable or advantageous. This gives us tremendous balance sheet flexibility as we move forward. Also this morning, we redeemed $50 million of our preferred equity held by Macquarie Capital. With these latest repayments, we have now reduced our total debt and preferred by $257 million or 8.5% of the total since we closed the merger in middle of September of last year. So we’ve reduced our total debt by $257 million since September 16 of last year.
 Now, as evidenced by this track record, again, we remain committed to continued deleveraging the balance sheet management using the strong and robust free cash flow that this business generates and based on investments in growth, we expect that to increase.
 Now, looking ahead into Q3, our Q3 2012. Our revenue's currently pacing flat, so Q3 revenues is currently pacing flat with political ad dollars contributing only 50 bps to that number for the quarter.
 On the expense side, we anticipate realizing another $15 million of merger synergies from Citadel in the quarter, which would bring the total to approximately $54 million for the first four quarters of the merger, really Q4. Q1, Q2 and Q3. So it would bring that total of realized synergies to $54 million with some more to come in the fourth quarter of this year.
 Now, looking further out to Q4, or currently our Q4 pacing, so while our Q3 pacing is flat and political is a very small part of that to date. Looking out to Q4, we’re currently pacing up 8.3% and virtually no political, only $200,000 of political is placed for Q4 at this point. So basically, ex-political, the fourth quarter is pacing up over 8% as we sit here today.
 Now, as we’ve seen in prior years, most of the anticipated political spending will take - will really be placed, this business drops very late, a lot of it is strategic and then they’re raising money right up until the last minute. So the business always drops very, very late. We expect the business to be placed, as always, Labor Day through election day.
 Now, based on the feedback we’re receiving from cats and our national sales team and our dedicated political sales manager, we remain confident that our target of $30 million of political revenue for 2012 looks to be on track to be realized and we’ll keep everybody obviously up-to-date on that as we go down that path.
 Now finally, I’d like to give you a brief update on SweetJack, which is our daily deals initiative, as well as the rollout of our stations on the iHeartRadio streaming platform. We’ve officially launched our partnership with Clear Channel to bring SweetJack to nearly 200 markets by year’s end, that launched in August. The team’s primary goals for the balance of 2012 are to work efficiently to scale the business and build awareness and adoption of the SweetJack plan. The rollout provides the SweetJack with a broad national distribution, again in 200 markets, that will position us well to attack a very large daily deal market, seeing estimates around $3.5 billion. And so it puts us in a position to attack that market in 2013 and beyond. So we believe that can be a meaningful long-term revenue contributor for the company.
 Additionally, the partnership with Clear Channel provides for the streaming of our approximately 525 now net of the divestitures to Townsquare, approximately 525 radio stations on iHeartRadio. As of today, virtually all of the stations are now streaming live on the platform and I’m happy to report we’ve already seen a meaningful increase in the streaming traffic in just a few short weeks. So obviously, people are on the application and we’re now directing our attention to the monetization of this increased reach. As we said before, historically streaming has accounted for less than 1% of revenue for the company. So it’s really been de minimis, in terms of our revenue contributor. With the broader distribution and now increased focus with our sales organization on streaming, we believe it has the potential to be as much as 5% of the revenue, it’s going to take some time to get it there, but we believe that ultimately, streaming could account for as much as 5% of the revenue in future. So it should be an incremental growth opportunity for the business.
 Now with that update I’m going to turn it over to J.P., who provide some additional financial information then we’ll open it up for questions. JP. 
J. Hannan: Thank you, Lew and good morning everybody. I’ll be brief in my comments and focus mainly on the financial reporting impact with recent M&A activity, before we move on to questions. Lew mentioned, we closed our Townsquare sale on July 31, after the quarter creating a subsequent event that required reflection in the presentation of our Q2 numbers. As a result, we require to record results from those stations and discontinued operations in our Q2 income statement, and as assets held for sale on our June 30 balance sheet.
 Given this Townsquare transaction and the two sizable transactions that were done at the end of last year. We continue to add considerable supplementary disclosure to our press release, add greater clarity to our numbers for the quarter for investors. As such results for the quarter are presented in this morning’s release in three views. First, pro forma for the CMP and Citadel transactions with no adjustment made for the Townsquare sale. Second, pro forma for CMP Citadel and presentation of the station sold the Townsquare as discontinued operations and third, as reported in our 10-Q, which we filed publicly later this afternoon. The pro forma consolidated results, Lew just presented to you do not contain any adjustments for the Townsquare sale and none of the results presented today consolidate the pro forma impact of the 10 radio stations that we received from Townsquare as part of that July 31 closing. We will add that element to the pro forma results in our Q3 release.
 As Lew mentioned the cash received from Townsquare enabled us to pay the remaining balance of our revolver, as well as redeem a portion of our preferred stock outstanding. These transactions are not reflected in the Q2 balance sheet, as they occurred after quarter end. Remaining balance of the preferred after this redemption is $75 million. This carries a current cash dividend rate of 14%. This rate escalates further to 17% in September of 2013. We continue to have total first lien term loan debt outstanding of $1.3 billion, the second lien term loan outstanding of $790 million and senior notes outstanding of $610 million. These three charges totaled approximately $2.7 billion at quarter end and have a blended interest rate of approximately 6.89%.
 Finally, we’ve added one additional table to the quarterly press release to give greater clarity to our various classes of equity issuances, including breakout at each of the four warrant classifications. As the table presents, at the end of Q2, we had approximately 165 million shares of common stock outstanding, including our Class A, B and C shares. Further, we had total warrants outstanding of 50.3 million, a number that continues to reduce each quarter, as positions are exercised or expire. More specifically, as of their July 31 expiration date, all of the penny warrants issued as part of the CMP acquisition have now been fully converted or expired without exercise. Remaining three classifications of warrants are the result of the Citadel merger, the legacy Citadel bankruptcy settlement and the Cumulus 2009 issuance.
 And with that, we can open up for questions. Operator? 
Operator: [Operator Instructions] Your first question comes from the line of Avi Steiner with JP Morgan. 
Avi Steiner: I’m just going to go down the financials here, Just looking back on the revenue you just put out for Q2, looked a little light relative to your peers. And I know you have talked about some one-time items in the past Lew, but can you just walk through the variance in what you saw in the second quarter and then I’ve got a couple others. 
Lewis Dickey: Yeah, Avi, again I think the - I spoke to that in the prepared remarks. We’ve got some issues with some specific radio stations. So when you - it is a bit of a tale in two cities. When you take a look at ex the top - the worst 10 performing radio stations, the entire group was up 2%, 560 radio stations were up 2%, 10 radio stations were off $10 million. And so that drag that down. The top three of those 10 were off $5.5 million. And so that accounted for more than 100% of the $4.8 million in negative revenue.
 So I think based on what we’ve seen thus far from the competitors, you’ve see revenue coming - I think everything seems to be in a band from anywhere from down three to up three in that range and we were down 1.7. And we certainly had some extraordinary issues, as we talked about, so you have those stations. And then included in all that are things like the Boycott that we saw from some remarks in a talk radio show, and obviously that impacted us and that continued on in the quarter. We talked about the Dodgers.
 And then we had a couple of format changes in DC and Atlanta. So all those things together all play into it, but if you isolate it down to individual assets, which three that accounted for $.5 million and tend that accounted for a little over $10 million. So those are things that we’re focused on making investments in those assets in particular, as well as content that support formatting genres that those assets are primarily directed in to help reverse their issues. 
Avi Steiner: Okay. And then on the strategic investment side, just trying to do the math and if I miss the number, I apologize, it sounds like it is a $9 million number. I want to know if I am from right there. 
Lewis Dickey: Right. 
Avi Steiner: So after that upcoming quarters we assume a similar amount of spend or with this a one time in this quarter and then looking back was there anything in the first quarter related to similar expenditures? 
Lewis Dickey: I think, J.P. take the second part of that, but I think in terms of what to think about going forward there was more bulk of it was going to occur in this quarter, particularly as for ramping up the local sales effort. So I would say you would look for less of that going forward, but we’ve just outlined four principal areas, which we’re making investments. So it’s going to be less than in the quarter, there are going to be some investments or dollars we’re going to flow through over the next three or four quarters. 
J. Hannan: And there was nothing substantial in Q1 and one thing I would add about Q2 is there are a handful of - probably a couple of million dollars of timing related expenditures things that we just advanced out of Q3 into Q2 that we pick up one of the largest is our health insurance, there is a little bit of a spike ahead of the conversion of the Citadel plan and we’re already seeing dividends from that in Q3. 
Avi Steiner: Okay. And we have to come back to that. And then, I think J.P. as you’re going through some balance sheet items, I didn’t quite catch where cash was again at the end of the second quarter and then can you bridge us to where we are opposed Townsquare? 
J. Hannan: Our cash finished just over $19 million and we received $116 million roughly for Townsquare of which $90 million went to pay down the revolver balance and $50 million went to pay down the preferred and then we had cash on hand generation from operations make up the difference. 
Avi Steiner: And will there be any tax implication on those proceeds paid out at some point later in the year? 
J. Hannan: Townsquare transaction is a taxable transaction, we’re working on the midst of tax season right now with the returns of last year. I don’t have a precise number there, but there will be tax element to it and it will eat up some of the NOL that we have more than enough. 
Avi Steiner: Okay. And maybe my last one and I’ll turn it over. Lew, can you talk about the switch from ESPN to CBS Sports and broadly, how we think about that both from a timing and revenue opportunity perspective? Thanks. 
Lewis Dickey: Sure. Avi, sports market we believe is $150 million right now. And so this partnership with CBS to create this network is obviously designed to essence compete or attack that marketplace. And so based on the distribution that we have between our stations and CBS’s, plus the - we’re up to about 100 stations on the network now. It is going to be a - in addition, what I would say is that I expect that $150 million market to actually grow, because as you see now, with CBS flipping stations to sports in major markets.
 Fourth quarter hours are coming in, so in essence, there’s going to be more high-quality, high-value inventory apply to that marketplace. And so that marketplace is inevitably going to expand. So we think it’s a 150 and rapidly growing marketplace that we’re going to be in a position to compete very aggressively for a meaningful share of that. And so we’re gearing for it and we expect to see a nice return on that for in 2013. And really 2013 is going to be the ramp here quite frankly, we’ll announce - we’ll launch the 24-hour format beginning of the year. Our updates are going to be launched in Q4. And so we think 2013 is going to be a nice ramp year and then ‘14 and beyond, we should start to compete meaningfully for that growing share of the $150 million marketplace. 
Operator: Your next question comes from the line of James Marsh with Piper Jaffray. 
James Marsh: I just wanted to follow-up on the content strategy discussion. Hopefully, you could give us an update on the radio network, just what potential new talent might be coming current ratings trends for your new talent. Just give us kind of an update of where you stand there today. 
Lewis Dickey: Okay. James, on the content side, because I mentioned, we’re in discussions now with more talent in addition to the ones that we have already announced. And the talent that we’ve announced were off to the races and we’re getting some very important clears. And it’s very early on ratings, it takes to create national ratings on these, it takes about a year to come through. So it’s going to take some time. But early returns that we’ve seen have been very encouraging. So it’s a - these things are a marathon, but we’ve got to put out good quality product and compete in the marketplace. And if it’s well done similar to sports, you actually expand the marketplace and everybody can do very, very well. So it’s not necessarily a zero-sum game here.
 We do look for the marketplace to expand as more views and more compelling content are brought in. And so we’re investing obviously in spoken word we’re investing in services like traffic and production services and we’re also investing on the music side. We’ve made some considerable investments in country as we’ve launched our partnership with Kix Brooks and we’ve made investments on the contemporary entertainment side, in this night show we have with Perez Hilton and the joint venture we have with AMI on Radar Online. And so we’re continued and then we’ve got an all-night show that we have announced and have out now and is this off to an excellent start.
 And so we’ve got - I would say, all in all, we’re very pleased with what we’re seeing, we’re making very strategic content investments around key verticals that we want to compete in and that we have and that based on the composition of our platform. We’re in a position to generate meaningful clears up front, which is very important in network revenue to get something off the ground, if you don’t have distribution in essence all you’ve got is a business plan. You don’t have a meaningful business, that you can actually execute on and take-to-market. So those have all been we’ve been very judicious and methodical about this and we like the best that we’ve made and they’re starting to pay off and we’ve got some other good ones that we’re in discussions with now that we hope to announce in the coming months. 
James Marsh: Okay. Great. That’s helpful. And then I also want to just circle back on pacings. You mentioned third quarter pacings flattish, you get political, I guess coming in late so we should build from there, but the fourth quarter pacing just seemed unbelievably strong to me right now, especially considering that there is no political in those numbers. Just what that you could flush out some of the individual categories that are doing well and maybe how you think those pacings might change going forward, I mean do you expect the fourth quarter to build with political coming or do you expect third quarter to kind of build from here with political comment? 
J. Hannan: Well, James couple of things are going on. The political - obviously if past is prologue, we expect the political to be dropping when everybody starts to focus on the election after Labor Day. So we do expect those numbers to come in and that’s going to be very helpful. You’ve got, when we took, the Q4 pacing is a bit anomalous and I wouldn’t read into that an industry trend because of easy comps on Citadel. So when we took over Citadel last year in the fourth quarter you had a business that was distracted, let me just put it that way. And so the business fell off dramatically in the fourth quarter of last year.
 So we have much easier comps on the legacy Citadel assets in Q4 and that’s primarily driving this. And then in addition, obviously we have some things that roll off like format change in Washington DC from the Rock station to MaLFM. So that rolls off in Q4 and we’re making some progress in turning around some of these assets that have been underperforming. So it’s a combination of all of those things, obviously the Dodgers comp rolls off. So you’ve got a bunch of different things that play in this that will be helpful in fourth quarter, as I say, maybe a bit anomalous to our company in particular. 
Operator: Your next question comes from the line of Lance Vitanza with CRT Capital Group. 
Lance Vitanza: I have three questions. The first, just to review the question that Avi asked, the cash bridge. If I heard it right, you finished June with $19 million, you got $116 million for Townsquare, of which you used $90 million to pay down the revolver and then you paid down $50 million of the press, 50, is that right? 
J. Hannan: Yes. 
Lance Vitanza: And then the difference obviously then is just you’ve had cash flow that you’ve generated subsequent to the end of the quarter to get you there? 
J. Hannan: That’s correct. 
Lance Vitanza: Okay. And then I apologize, I had to jump on the call late, I think I missed the beginning preamble. But I was a little concerned to see cash OpEx down only $3 million year-over-year, but it sounds like you said something about $9 million of strategic investments into OpEx? 
J. Hannan: That’s correct. 
Lance Vitanza: Okay. And then lastly on Huckabee, my sense is that that’s not going as well as we might have hoped. But on the other hand, Rush is back. Could you talk a bit about the interplay there and how that all fits the numbers going forward? 
Lewis Dickey: Well, yeah. I would sort of take issue with the premise that Huckabee isn’t going as well as hoped. We’ve got tremendous amount of clears for him going forward. And as we talked about, a lot of groups have contracts, existing contracts and those have to roll off. So I think we’ve done a excellent job, our team has done an excellent job of getting the governor cleared and as many markets as he is in at this point and we expect the - and the early ratings that are coming back on this are very strong.
 Look, in one market in Topeka, where we’ve got Rush under contract in one of our stations. We put the governor across the street and in the last book he beat Rush. So these examples are anecdotal at this stage, but it’s all starting to play out a little over a long period of time. So as we say, we look at this as not a zero-sum game, it’s an opportunity to offer incremental content, expand the marketplace, which is exactly what’s going to happen with sports that we’re doing with CBS, we’re creating quality content that will create more listenership and bring more advertising dollars to that particular vertical.
 And so we look to benefit from that. So I think we’re off to a good start with the Governor and we’re very pleased with what we’ve seen, his show continues to develop. And as we say, inside it’s not the first five shows, but it’s that how we do on the 500 show. This is a marathon and we are going to put great content out there for the long term and we are solidly behind this and we feel it’s going very well. 
Operator: Your next question comes from line of Amy Yong with Macquarie. 
Amy Yong: Just quickly on the full year, I guess you’re somewhat flat in the first half of the year and there was a political swelling in the back half, are we safe to assume that the year-over-year growth is going to look somewhat flat? And then, I’m sorry go ahead. 
Lewis Dickey: I think, we are not giving full year guidance, but I think that we would expect based on what we see for the back half of the year to more than offset the first half of the year. 
Amy Yong: Okay. And then just quickly on the network side, you’re investing so much on content. Is there an opportunity to gain more market share in the network business longer term? 
Lewis Dickey: Yes, and we are gaining share in the network business and we expect to continue to do so. So because we are not -- we are a radio company and we’ve got distribution as well as content creation through our network. We’re developing content first and foremost that is strategically valuable to our owned and operated group of stations and that then can be applied to our affiliate base nationwide and we see and that strategy is paying off where we’re making good progress there and we expect the network share to continue to increase, we’re seeing that with the traffic launch that we just do. We just mentioned we’re launching the sports network to go compete for $150 plus million market there and the traffic market is ultimately about the same thing and same size of sports. And so we are larger quite frankly, and we think we’re going to have a meaningful share of those of the both of those markets over the next couple of years. 
Operator: Your next question comes from the line of Aaron Watts with Deutsche Bank. 
Aaron Watts: Few questions from me. Lew, I’m curious on the 10 stations that you said were kind of weighing you down in the second quarter. What was it about those stations that kind of pulled them out from the rest of the group were they big market, small market certain formats. Can you give more color on that? 
Lewis Dickey: Yeah, they’re predominantly major markets, predominantly top 10 markets and predominantly news talk and so we’ve had -- we stated some of the issues that we had in top radio with sort of a one-time event that happened and so we’re playing through that storm, as well as -- it’s no secret these assets in the prior life of this company were under invested. And in essence, they were just sort of vessels for syndicated programming and we’re making strong investments to bring them back, we’re investing in services, we’re investing in content, we’re investing in marketing and working to bring these assets back and rejuvenate them. And so it takes some time to do that, but the investments are strategic and make sense and we’re getting them turned around. 
Aaron Watts: Okay. And as I think about your comp. I’m sorry. 
Lewis Dickey: I would just say, the problem is pretty simple, it’s right there in front of us and we’re very focused on turning it around and we’re making progress. 
Aaron Watts: Okay, good. And then thinking about your comments on the third quarter pacings. Would you say, if you strip away all the noise, the factor that you laid out, does the environment feel better in the third quarter, so your core our radio business versus the second quarter, is it more sideways and it feels stronger later in the year? Maybe just tonally you strip away the noise to how that feels? 
Lewis Dickey: I think the third quarter is feeling better. Second quarter, there was - it seem like fear would come back in the system and it had a negative impact on growth. We saw things fall off pretty markedly beginning in April. And I do think that as we look out into - from this point and beyond, really August and beyond, it does feel like it’s getting a little bit better.
 But I would also say that the 10 stations that accounted for a big mess in Q2, don’t all of a sudden run positive in Q3. So we’re still carrying that, it’s going to take two, three, four quarters for all these things to get turned around. So we’ll still carry some of that baggage into 3Q and those pacing numbers include that drag from those stations. So, but I would say that overall, things feel like they’re getting a little bit better, but a lot of this, as I say, we have to view our company individually and not make industry comments because we can really just deal with what we have at hand here. 
Aaron Watts: Okay. And maybe just help maybe us manage our expectations. You talked about $14 million to $15 million of savings I think in the 3rd quarter that you’re going to have flowing through. How should we think about that netted against some of the additional strategic investments you’re making? But these strategic investments again kind of totally countered that $14 million of savings or is that a net positives of the savings side there, Lew, you could bracket that? 
Lewis Dickey: I’ll let J.P. take that. 
J. Hannan: I don’t think you’re going to see as high a number going forward as - a large percentage of that was invested in our sales teams who begin to [indiscernible] Monday with the incremental sales. There will be some in Q3. And then we have incremental synergy in Q4, on half of sort of estimated $53 million, $54 million that we have at the end of Q3. 
Aaron Watts: Okay. Great. And last one for me. I appreciate you taking all these, but Lew, little bit of and just no way the market looks at some of these daily deal businesses. Are you still optimistic that SweetJack can be a big success for you that would be a big contributor to the top and bottom line. Given kind of the recent market shifts in opinion there. That’s it for me. 
Lewis Dickey: Okay. And on that questionnaire what I would say is that we talk about let’s kind of go to 10,000 feet for a second. The idea of couponing has been around since, for a very long time and taking that from the physical medium circulars and newspapers and flyers and bringing that online and serving that to people in a more intelligent way, makes all the sense in the world and by the way that’s not going away.
 And so the ability for merchants to an essence, use it as a customer acquisition vehicle by offering promotional deals to people that’s been going on for a long time as I say and it isn’t going away. This is just using technology to in essence facilitate that and in essence, I think it is inexorably shifted to a more of an online model, because it just a much more efficient way to distribute it and to give it to people. So that’s not going away. As we’ve said in the past, it takes enormous scale to do this to create a successful daily deals platform.
 I think what most media companies are learning, is that the idea of a white label solution coupled with some remnant inventory and a package handed to year existing local sales team is not a recipe for success. And so you’ve had dozens of media companies that have come to that conclusion and so more people are getting out and are getting in at this stage of the game. We obviously have a penchant for running our business very efficiently. And so we have taken our time and haven’t run into this and thrown a lot of money against the wall just try to create revenue or recreate a revenue story we’re not at dot-com company looking for funding.
 So we’re very judiciously building an organization and scaling it that can efficiently run at a profit, when it’s fully developed this business and actually making viable business model. So we sort of begin with the end in mind on this and apply the same amount of discipline to running a business like this that we do to our Broadcast business and we have the best margins in the business broadcasting on radio.
 So that’s the DNA of our company and that’s the way we’re approaching this. So I would say that I do believe that it is a viable business for us at scale and it will create revenue or will contribute meaningful revenue and cash flow to our business. I think that in 2013, it will be much - we’ll see the impact of revenue and there will be I think meaningful revenue that will come into the business in 2013. And then I think the profit will really start to flow in 2014 and beyond as this thing take shape and as I say, operates at scale. It won’t be at scale till the end of the year. So 2013 is sort of the year where we’re going to be generating revenue [indiscernible] incremental cash flow and margin. 
Operator: Your next question comes from the line of Davis Hebert with Wells Fargo Securities. 
Davis Hebert: Just wanted to ask about local versus national, how did you see that play out in Q2. I believe on the Q1 call you said National was feeling a little stronger towards the end of the quarter. And how do you see that pacing in Q3? 
Lewis Dickey: Well, national has been a bit of a - I think it was just the opposite. National has been a bit of a drag and we think that as we look at Q3 and beyond, it’s going to be the same thing. Local is outperforming, it’s outperforming national. 
Davis Hebert: Okay. And on the EBITDA line, you talked about the strategic investments coming down in the quarters ahead plus the synergies, I mean, is that - is it conceivable to think we should see EBITDA growth in Q3? 
J. Hannan: Yes. 
Davis Hebert: Okay. And I just want to talk about the Townsquare transaction briefly, just from a 30,000 foot perspective. So I mean, what does this mean for you guys in terms of - is it sharpening your focus on large markets? Then if you can talk about some of the stations that you decided to divest? 
Lewis Dickey: Well, at the time we announced the transaction, we said this was an opportunity for us to, in essence, refocus our efforts really in the top 150 markets and that’s the focus of our existing platform. And that’s the strategic focus of the company with incremental acquisitions to really be focused in the top 50 markets. So as opportunities present themselves, that will be the primary and we’ll be focused on, will be top 50 markets. And then with respect to our existing portfolio, we’re always looking for ways to optimize what we have. And so, as I say, the primary focus for us, what we would consider to be strategic would be our markets in the top 150 DMA ranked markets. 
Davis Hebert: Okay. And if I can just ask few housekeeping questions. Did you say what the covenant leverage was and how much in synergies add back within EBITDA come from there? 
Lewis Dickey: The covenant leverage at the end of the quarter was just over seven times there at $13 million, just the last add back that we get from the Citadel transaction. Again our covenants for Q3 will be suspended because we paid off the revolver, which is what they were largely tying to. 
Davis Hebert: Right. Okay. And on the iHeartRadio, Clear Channel think you said that they see about 2% of listening hours on that digital format they’re growing. Would you agree with that there is it too early to tell from your standpoint? 
Lewis Dickey: Well, I would look to them, I mean, I think they’ve spend a lot of time with this and have had their stations up on that platform for a considerable amount of time. As I say we’re a couple of weeks into it. And so it’s premature for us to comment on what percent of listing we expect to take place there so I would really look to Clear Channel for that. 
Operator: Your next question comes from the line of [indiscernible] with Credit Suisse. 
Unknown Analyst: This is [indiscernible]. Just a quick question and I’m sorry if this is mentioned already, but the three stations that accounted for the roughly $5 million in revenue decline. What percent of total revenues did they account for over the last 12 months or so? 
Lewis Dickey: We’ll have to get back to you on that we don’t have that right at hand.
 It’s going to be north of 5%, it’s going to be around, I would say around 5%, but we’ll get back to you the more precise number there. 
Operator: Your next question comes from the line of Thomas Gilbert with UBS. 
Thomas Gilbert: I want to ask you about royalties, I think we saw that Clear Channel benefited from [indiscernible] descent quarter and I just want to note that was that you guys are also benefiting from and if you can quantify. And then you also talked about the opportunity at streaming revenue will be about 5%. Can you tell us where that is right now. 
Lewis Dickey: I think the second half first and J.P. will take the first half. The streaming revenue currently is under 1% of our total revenue and as we say we believe that over time that has potential to be much higher, as much as 5% of total revenue for streams. 
Thomas Gilbert: In terms of the publishing royalties and you’re talking about the BMI contract? 
Lewis Dickey: Yeah. 
Thomas Gilbert: We’ll be recognizing that in the back half of the year. In Q3, it still to be determined with our auditors exactly how that’s placed any sense, I mean, how big that could be, is that $2 million or $10 million? 
J. Hannan: For us, it would be $7 million to $8 million, just when it actually - how would place it. 
Operator: Your next question comes from the line of Michael McCaffery [ph] with Shenkman Capital. 
Unknown Analyst: Could you just - and I apologize if you mentioned this earlier on the call. But now that you paid off $50 million of the preferred, if memory serves, your covenants only allow you to do $75 million this calendar year. Can you just confirm that? 
J. Hannan: Mike, we have two covenants, one is in the credit agreement, the other is in the indenture. So we have paid as much as we can based on the limitations in the indenture. And the rest will be based on performance. 
Unknown Analyst: So as I look to the back half of this year, uses of cash at this point, should we expect your focus for the remainder of this calendar year then would be on the credit facility? 
Lewis Dickey: Mike, we will make the appropriate decisions on that, based on our discussions with the Board on the uses of free cash for the rest of this year and going forward. 
Operator: And there are no further questions. 
Lewis Dickey: All right, operator, thank you very much. I appreciate everybody joining us today and look forward to talking to you in 90 days. Thank you. 
Operator: This concludes today’s conference call. You may now disconnect.